Operator: Greetings, ladies and gentlemen, and welcome to Benefitfocus Third Quarter 2021 Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions] It is now my pleasure to introduce your host, Ms. Patti Leahy. Thank you. You may begin.
Patti Leahy: Thank you, operator. Good afternoon, and welcome to Benefitfocus’ third quarter 2021 earnings call. Joining me today are Matt Levin, President and Chief Executive Officer; and Alpana Wegner, Chief Financial Officer. Matt and Alpana will offer some prepared remarks, and then we’ll open up the call for questions. Before we begin, let me remind you that today’s discussion will include forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from those statements, including integration and reliance on key personnel, impacts of COVID-19 and the development of our market and business, including our growth strategy. For more information, please refer to risk factors discussed in our most recent Form 10-K filed with the SEC. During today’s call, we will also refer to certain non-GAAP financial measures. You can find important disclosures about those measures in today’s earnings press release. I’d also like to make note of a couple of upcoming investor events. We’ll be participating next week in the Credit Suisse Virtual Healthcare Conference. And later in the quarter, we’ll also be virtual at the Piper Sandler Healthcare Conference. We’re looking forward to these events and hope to interact with many of you then. Further information about these events will be available on our Investor Relations webpage. With that, I’ll now turn the call over to Matt.
Matt Levin: Thank you, Patti. Good afternoon, and thank you for joining us. Let me start by sharing three objectives we have for today’s call. First, I’ll provide a preview of the growth strategy the team and I are working on, which you’ll hear a lot more about early next year. Second, we’ll recap some of the actions we’ve taken to strengthen our foundation and return the company to growth. And third, we delivered a solid quarter, which Alpana will cover in detail, along with our outlook for the remainder of the year. Let’s begin with a preview of our growth strategy. The team and I are actively working through the details of our growth opportunities and overall plan. We intend to share more on our plan starting with our next call. For today, it’s important you know that we have a methodology we are acting on to drive operational excellence and improve performance. I expect this discipline, coupled with the experience and sense of urgency our leadership team brings to return the company to sustainable growth. Of course, all good strategies start with a compelling mission. Our mission at Benefitfocus is to improve lives with benefits. This is an enduring mission and serves as our guiding light as we think about the job to be done for our customers. This mission has taken on an increased level of importance in light of how the pandemic has impacted all of us over the past 18 months. I, along with all of our associates take our responsibilities very seriously, and it’s on our mind every day. Our mission is underpinned by core values. Our values were tested and refined about three years ago with collective input from our associates. I’ll highlight a couple of them for you today. First, anticipate. This means we strive to anticipate the needs of our customers by actively listening to their changing needs and challenges in responding with the right products and services. If you listen to our last call, you know that I believe service excellence is the single biggest driver that can return the company to growth. I can’t state this enough. The ability for our team to anticipate and deliver on the needs of our customers is paramount. It is equally important that our customers know we are a safe set of hands as they and their employees or members navigate a constantly evolving health care landscape. I feel good about the progress we’re making and believe we have the right people focused on what needs to get done. Another value I’ll highlight is own it. It’s the value that encompasses accountability. I believe driving a performance-based culture that includes a high say-do ratio goes hand-in-hand with delivering improved results. It starts with me and the executive team and cascades from there. We have also defined aspirations for each of our key stakeholders, including associates, customers, partners and shareholders. For the avoidance of doubt, our aspiration for our shareholders is to maximize shareholder value by driving robust, sustained growth. I’ve said it before, this is the reason the Board hired me and is the main needle we are focused on moving. As I look ahead, I see two primary levers, which drive our growth strategy: enrollment and engagement. These will be familiar to you if you’ve been listening to our calls over the past few quarters, they were chosen because they clearly connect to our core competencies and are areas where we believe we can create disproportionate value for our stakeholders. What’s different than what you may have heard before is the heightened focus, experience and sense of urgency this leadership team brings and our commitment to execution. Drilling down into both, our enrollment strategy encompasses advancing and modernizing our enrollment platform with the objective to grow our customer base. This is table stake. And by offering a best-in-class enrollment experience, we will drive better customer retention and increase the number of customer references, which is the fastest path to growing our customer base. Our enrollment strategy also includes rounding out a few areas of our current product portfolio. One example is in administrative services and compliance, which done well, is a way for us to reduce the administrative burden on our customers, allowing them to focus on higher-level strategic priorities. It also gives us brand permission to have discussions around other adjacencies that we’re excited about, particularly in the area of engagement. Engagement is the way we interact with customers beyond enrollment, by activating the lives on our platform through areas such as health advocacy, navigation and emerging categories of voluntary benefits, we see paths to drive additional revenue growth and believe we can accomplish this organically through partnerships or via acquisition. Data is a key enabler for both strategies. We view our data assets as a competitive advantage and believe that delivering industry-leading data exchange and insights is a critical part of our enrollment and engagement strategies. Leveraging our data assets help our customers and their employees select and better utilize the right benefits and in the process, drive down health care costs for everyone involved. In addition, given the richness of our data sets, ranging from claims to enrollment decisions, we believe we have the opportunity to be increasingly valuable partners throughout the ecosystem, particularly with brokers and consultants to help them better serve our joint customers. Underneath these strategic growth levers are specific drivers connected to our focus on the customer experience, service excellence and operational efficiencies, among others. You can hold us accountable for sharing these growth drivers in more detail along with our key performance metrics at our next Investor Day. I hope this gives you a sense for the strategic framework we are using to drive operational execution and improved performance. I believe our team can be successful executing on this framework in part because of the groundwork that has already been laid. And this leadership team has been here before. So I’ll turn to the second objective for today’s call, which is to briefly recap some of the actions we have taken to build on the foundation the team has put in place. Over the past six to 12 months, we have strengthened our talent base, enhanced our governance and begun modernizing our platform. We’ve also been opportunistic with the repurchase of debt, resulting in healthier leverage while preserving our financial flexibility. Alpana will discuss our debt repurchase in more detail in a moment, and I’ll provide more color on the governance, people and platform actions we’ve taken. From a governance perspective, we’ve substantially enhanced the diversity, independence and experience of our Board. Most recently, we added a wealth of health plan experience with the addition of Brad Wilson, former President and CEO of Blue Cross Blue Shield of North Carolina. We have also improved shareholder rights, including the approval by shareholders at our last Annual Meeting of our proposal to declassify the Board. From a people perspective, as I said on the last call, building a world-class company starts with building a world-class team. I believe we have done just that, attracting some of the best experts and leaders in our industry. We are focused on improving service quality for our customers and are creating a dynamic culture defined by inclusiveness, meritocracy and delivering results. We have also continued to modernize our product development processes and improve the performance of our platform. We’re in the early days of executing this plan, but are excited about the benefits we expect for our customers, including service improvements and faster delivery of new products. That brings us to the current state of affairs, which I’ll cover briefly before handing off to Alpana. As I mentioned before, our top priority is to drive growth. This starts with service excellence. We are currently at the height of open enrollment, a period that puts our service capabilities to the ultimate test. We’ve invested in enhancing the open enrollment experience for our customers this year, and I’m pleased to share that it’s going well so far. Early feedback from customers, including some of our largest, has been positive. We also continue to get encouraging feedback regarding the user experience. I am pleased with our progress and believe this is a good sign that the trends are improving. The payoff with delivering an outstanding open enrollment this year should lead to more references and more exposure to more opportunities next year, which translates to long-term revenue growth. We have also doubled down on our outreach to partners in the overall ecosystem, including brokers, consultants and advisers. This has included transparent and honest discussions around our efforts around service excellence and product road maps as well as commitments to eliminate friction with these influencers. I have been personally involved in many of these discussions. Here, too, I am encouraged by the feedback we have received and feel the trajectory is positive. In summary, we are building upon our 21-year history of product innovation and service excellence. But to be clear, it’s a new day of Benefitfocus. That’s a good segue to hand it over to Alpana, who will dive deeper into our results and outlook in more detail.
Alpana Wegner: Thanks, Matt. Before I share our results to the quarter, I’ll start with an update on the two key markets we serve to help you better understand the size of each market and the drivers influencing each market. I’ll discuss employer first, which represents roughly two-third of our revenue today. I’ll then cover health plan, which is the remaining third of our revenue. The employer market has been a healthy growing market that represents the large majority of our TAM. Included in our employer market are our State Health Plan customers, which we continue to see success in most recently with the win in Wisconsin earlier this quarter. We are also pleased with the strength of our relationship with SAP, which serves the employer market and continues to be a terrific partner. While we are seeing the employer market gain traction, we haven’t seen the level of buying decisions from new customers return to pre-COVID levels. We continue to believe in the strength and the large opportunity of this market given our customers’ needs to manage complex compliance and optimize their employee benefits, which represents, on average, about one-third of total compensation costs. In the health plan market, which represents a smaller percentage of our revenue, we have a strong heritage and have been an industry leader for group enrollment. Our customer relationships are durable with contracts that are typically multiyear, with historically low attrition. As we’ve shared before, we are expecting this part of our business to experience discrete instances of lower renewals in the near term. We are also seeing tempered levels of demand because health plans are redirecting spend on initiatives such as individual marketplaces instead of group enrollment, where we are focused today. Our quote-to-pay solution remains a compelling value proposition, especially for regional plans and certain Blue’s plans as part of their growth strategy as well as how they engage with brokers. We continue to expect the solution will contribute to the long-term growth strategy. We are also exploring further adjacencies to augment our overall health plan product portfolio. More to come on this as we share our longer-term plan with you early next year. Now turning to the results for the quarter. Total revenue of $62 million was above the high end of our guidance. Subscription revenue performed better than expected due to lower customer service credits as a result of our focus on service excellence. Q3 revenue was down 2% compared to last year, driven primarily by lower professional services and the planned reduction in noncore revenue. As a reminder, noncore revenue includes legacy Connecture, on-prem and unprofitable professional services revenue and the runoff from Mercer. Total software services revenue was $50.9 million, up 1% compared to last year. This includes subscription revenue of $44.8 million, which is roughly flat year-over-year and platform revenue of $6.2 million, which was up 10% year-over-year. Software services revenue retention improved approximately 400 basis points compared to Q3 last year. Professional services revenue performed as expected, down 15% year-over-year primarily due to the continued lower levels of demand for customer requests from health plan customers. On a GAAP basis, Q3 gross profit was $30.8 million, representing a gross margin of 50%. On a non-GAAP basis, gross profit was $31.6 million, representing a gross margin of 51%, which is down approximately 400 basis points compared to the prior year. This decline is driven primarily by a decline in professional services’ gross margins, which I’ll discuss in more detail in a moment. We expect gross margins to be slightly better than last year for Q4 and the full year. On a GAAP basis, software gross margins were 63%, down from 64% in Q3 of last year. Our non-GAAP software gross margins were 64%, which is approximately 200 basis points lower than last year. The decline in software gross margins is the result of investments in additional OE resources as part of our focus on service excellence and acceleration related to a vendor contract termination. These cost impacts are largely timing within the second half of the year. We also expect software gross margins to be slightly better than last year for Q4 and the full year. Professional services GAAP gross margins were negative 12%, down from 8% in Q3 of last year. On a non-GAAP basis, professional services gross margins came in as expected at negative 9%, below Q3 of last year, which was 13%. This reflects the increase in labor costs that we previously shared with you for our seasonal hiring as well as an acceleration of costs from later in the year as we pull forward some of our ramp-up activities for open enrollment. Consistent with the seasonality of the business, we expect negative PS margins to continue into Q4. Q3 adjusted EBITDA was $6.7 million, above the midpoint of our guidance and down from prior year of $10.5 million. Our Q3 adjusted EBITDA margin was 11% compared to 16% last year, which reflects the expected impact of legal fees and severance as well as the timing of the costs I just shared. GAAP net loss available to common shareholders was $19.7 million and GAAP net loss per common share was $0.59 compared to GAAP net loss available to common shareholders of $6 million and GAAP net loss per share of $0.19 in Q3 of last year. Non-GAAP net loss available to common shareholders was $6.3 million and non-GAAP net loss per share was $0.19, which exceeded our expectations. Non-GAAP net loss available to common shareholders in Q3 of 2020 was $2.7 million and non-GAAP net loss per common share was $0.08. Now let’s move to the balance sheet and free cash flow. We ended the quarter with approximately $94.5 million in cash and marketable securities, which was $98.7 million lower than Q2 and reflects the partial pay down of our convertible notes. Specifically, we repurchased approximately $100 million in aggregate principal amount of our convertible notes for a cost of $98 million. The repurchase notes represent approximately 45% of the outstanding principal amount leaving approximately $121 million in aggregate principal amount outstanding. Our strong cash position, combined with the fact that our business continues to generate cash, enables us to be proactive and opportunistically pay down a substantial portion of this debt. We believe it was a prudent and disciplined capital decision to reduce our debt level and to do so at a discount to the face value. We were able to reduce our debt-to-EBITDA ratio by two turns from six times to four times. As we think about uses of cash, we continue to prioritize accelerating our product road map, fortifying our customers service experience and pursuing select tuck-in acquisitions to accelerate our growth strategy. I’ll also note, our full $50 million line of credit remains available to us. Moving on to free cash flow. We generated $6.9 million of free cash flow in Q3 compared to $11.3 million last year. Free cash flow is a non-GAAP measure that we define as cash provided or used in operations, less purchases of property and equipment and excluding cash paid for restructuring costs. The decline in free cash flow compared to last year relates to the timing of legal expenses and prepaid software licensees. Turning to net benefit eligible lives. Total NBELs were $16 million in Q3, down 1% sequentially from Q2 and in line with our expectations, down 12% year-over-year. The decline year-over-year is driven by two factors: first, the expected lower level of renewals with certain health plans; and second, our decision in Q1 consistent with our focus on ARR from our core platform offerings to terminate the unprofitable relationship with Shipt and the associated gig life. Shifting to our Q4 outlook. For Q4, we expect total revenue of $66 million to $72 million. Our Q4 revenue guidance range reflects the variability and transactional nature of voluntary benefits enrollment during open enrollment. Let me share a little more color on this guidance to help you with your modeling. We expect the largest decline compared to Q4 last year to be in professional services revenue. Historically, Q4 has represented a seasonally high volume of health plan customer quest, which we are not seeing at the same levels this year. We also expect a downward trend in subscription revenue due to the lower levels of health plan renewals and the planned reduction of noncore revenue. We expect platform revenue to perform in line with seasonal trends as a percentage of total Q4 revenue. Q4 adjusted EBITDA is expected to be between approximately $13 million and $19 million. We expect non-GAAP net loss available to common shareholders between $700,000 and non-GAAP net income available to common shareholders of $5.3 million, which represents non-GAAP net loss per share of $0.02 and non-GAAP net income per share of $0.15. We expect 33.4 million of basic shares outstanding and 34.6 million of diluted shares outstanding. For the full year, we are maintaining our guidance. We expect total revenue between $254 million and $260 million. We expect adjusted EBITDA between $44 million and $50 million, representing 18% EBITDA margin at the midpoint of revenue and adjusted EBITDA. And we expect free cash flow between $20 million and $26 million. As a reminder, our revenue over performance in the first half of the year was largely due to timing of platform revenue accelerating from the second half of the year. Overall, our outlook hasn’t changed. We look forward to sharing more in February on our 2022 target, and I am confident that the actions we are taking today are setting us up for long-term sustainable growth. In closing, I’m pleased that we delivered results in line or better than guidance. We also made good progress de-levering the balance sheet while preserving flexibility to invest in the execution of our growth strategy. With that, Matt and I are happy to take your questions. Operator?
Operator: Thank you. [Operator Instructions] It appears there are no questions today. I would like to turn the floor back to Matt for closing comments.
Matt Levin: Thank you. In closing, we are working diligently to return our business to growth. We’re investing substantial time and resources to be a safe set of hands for our customers. This starts with delivering service excellence, especially during open enrollment, as we’re focused on strengthening our relationships with the important influencers in our industry. We have our work cut out for us, but I believe our focus is on the right things, and we’re making good progress. I’d also like to offer a personal thanks to all our associates who are working so hard to deliver to our customers during our busiest time of year. Your dedication, passion and energy inspires all of us, and I’m grateful for all you’re doing. With that, I just wanted to say thanks for joining us today, and we’ll see you in February.
Operator: Thank you. Ladies and gentlemen, this concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.
Q - :